Operator: Good day ladies and gentlemen and welcome to the Consumer Portfolio First Quarter 2014 Earnings Conference Call. At this time all participants are in a listen-only mode, later we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) As a reminder this conference call is being recorded. I’d now like to turn the conference over to Mr. Charles Bradley, President and Chief Executive Officer. Sir you may begin.
Charles E. Bradley, Jr.: Thank you, everyone for attending our first quarter conference call. It’s actually rather quickly after our fourth quarter conference call, but things obviously are going quite well. We’re very pleased with the quarter, the numbers came in exactly where we wanted them to, then looking sort of little deeper in that, originations and acquisitions went really well for the quarter. They were probably just off slightly and a little of that can be attributed to tax refund season starting late, few other little things, but generally speaking it’s pretty much exactly where we wanted them to be. So we are kind of pleased with that prospect of originations. In terms of collections, we have continued improvement, we’re continuing to hire in all branches, overall collections is performing in the way it’s supposed to and probably improving gradually as we go. And looking at the balance sheet, probably the most important thing we do is we did pay off $38 million to our senior lender, we’ve been talking about that for a while, and certainly a lot of folks had said, we needed to focus on deleveraging and we’ve done that rather significantly, if you look at the deadline over the last year. A year-ago that debt number was at $74 million. In December was $58 million and today it’s $18 million. So we made real progress in terms of de-levering the balance sheet paying off that long term debt. And looking at, the other thing we did of course is we did our normal securitization in the quarter. The good news or interesting news there was the price on the securitization actually came down from the fourth quarter. And we’ve been always allowing for the gradual increase in the interest rates the fact that we are able to price that deal even better at 2.5%, all in cost versus 2.9% for the previous quarter. It is a very significant thing in both our overall cost of funds and the fact that it’s actually not even trending up, it’s coming down. And that margin is a big factor going forward. We said those rates keep doing what they are doing it would be a real good impact on the overall business. In terms of marketplace; marketplace is interesting today in that there is competition, some of it’s, I think generally speaking is all fine, but still there are few people they are pushing real hard, I think because they are trying to make the numbers, trying to put together the books to go public wherever it is? They are pushing little too aggressively, we are in a nice position where we don’t have to, and it really hasn’t affected our volume much and certainly hasn’t affected our margins much. So we are able to live with that, and I think over time we’ll still get originations and other folks pushing a little too hard might create some opportunities. With that I’ll turn it over to Jeff to go through the financials.
Jeffrey P. Fritz: Thanks Brad, I welcome everyone. We’ll begin with the revenues for the first quarter $68.1 million, that’s a 2% increase over the December quarter of $66.6 million and a 25% increase over the first quarter of 2013. And of course the revenue is driven by the portfolio growth. We did purchase $190 million of new contracts here in the first quarter. And that resulted in our consolidated portfolio increasing by 6% compared to the fourth quarter of 2013. And a 43% increase in the consolidated portfolio compared to at the end of the first quarter last year. And the expenses $56.4 million for the quarter, that’s up just a little bit 2% from the fourth quarter of 2013, and up 17% from the first quarter of 2013 a year ago. Expenses, I mean operating expenses were generally flat. We did have some slight increases that in some categories consistent with the portfolio growth. And we did a lot of hiring in the originations and marketing area really in the fourth quarter of last year to accommodate the growth in the busy season that we have in the first quarter of this year. So, that results in a lot of those expense categories remaining flat for those consecutive quarters. Moving on to the provision for losses, $23.9 million for the quarter, just down – I’d say almost flat from the fourth quarter of last year, and up 58% compared to $15.1 million for the first quarter of 2013. These are in line with our expectations portfolio is growing obviously, the age of portfolio is increasing just slightly with each quarter, as we continue to buy new contracts, but the percent of contracts that we buy is becoming a smaller – in dollar metrics contracts we buy is becoming a smaller percentage of the existing portfolio because the [portfolio] [ph] is now up about $1.3 billion. Pretax earnings $11.8 million for the quarters that’s up 3% compared to the consecutive quarter on December, and up 82% compared to $6.5 million of the first quarter of 2013. And the net income for the quarter is $6.7 million, that’s a 3% increase over the December quarter and 76% increase over $3.8 million net income in the first quarter of 2013 a year ago. Diluted earnings per share was $0.21 flat compared to the December quarter, up 75% compared to $0.12 per diluted share a year ago. Moving on to the balance sheet, unrestricted cash is about $15 million, you’ll see that that’s a slight decrease compared to $22 million for the December quarter about the same compared to a year ago. Brad already alluded to the significant change in our balance sheet this quarter with repayment of the $38 million of the senior secured debt. But nevertheless, we still have a strong liquidity position due primarily to the company’s profitable operations and the good execution that we get on our asset-backed securitizations. Restricted cash balance of $147.6 million includes $69 million prefunding component for our 2014-A securitization which I’ll talk about a little bit in the next section here. Moving on down to balance sheet; finance receivables, net of the allowance for loan losses is up 6% compared to the December quarter and up 42% compared to year ago. That little fireside fair value portfolio continues to amortize down that’s below $10 million now. And on the debt side, little bit higher utilization the warehouse lines, I think with the $41.5 million balance at end of the quarter, I think we’ll be using and you’ll see a little bit higher utilization of the warehouse lines in the coming quarters as a result of our deleveraging the long-term debt side of the balance sheet. Not much other changes in the liability side of the balance sheet obviously securitization debt continuous to go up with the addition of the 2014-A transaction. Let’s look at some of the financial performance metrics, the net interest margin for the quarter was $54.8 million that’s a 3% increase over the NIM for the fourth quarter of last year, and 43% increase over $38.3 million net interest margin in the first quarter of 2013. And we’ve continued to benefit from the good execution in the ABS market. Brad mentioned that 2014-A transaction blended cost of funds on that was about 2.5%, 30 basis improvement from the December transaction, which in itself – which in addition was significant improvement, 25 or 30 basis points, I think, over the September transaction. One thing that the NIM does not reflect is that most of that senior secured debt payoff occurred right at the end of the quarter. And so we’re going to see some improvement in our overall blended cost of funds going forward because the cost of funds in that was pretty high. Risk adjusted NIM, which takes [no] [ph] capital provision for loan losses was $30.9 million for the quarter. That’s a 6% increase over the December quarter and a 34% increase over $23.1 million in the first quarter a year ago. Core operating expense was $19.1 million for the quarter. That’s about flat or a little bit down from the fourth quarter of last year. The 15% increase over $16.7 million a year ago obviously most of these core operating expenses reflect employee cost and other general and administrative costs. They are going to trend upward as the portfolio increases. But you’ll see that as a percentage of the managed portfolio, the core operating expenses 6% for the quarter and it’s down from 6.4% in the December quarter, and then down significantly from 37% a year ago and this shows that we’re really gaining some economies of scale in terms of the operating environment and controlling costs even though the portfolio is rising. The return on managed assets as a percent of pretax – pretax income as a percent of the managed portfolio rather, 3.7%. That’s actually down just a little bit compared to 3.8% in the December quarter. That’s significantly compared to 2.8% a year ago. Let’s take a moment and look at the credit performance metrics. Delinquencies for the quarter were 6.3% compared to 6.9% in December and 4.2% a year ago. In the sequential quarters we see a little seasonal improvement and the increase compared to a year ago is really attributable to things we talked about last couple of quarters, a larger then introduced from the 2012 and 2013 originations, are seeing slightly higher credit losses due primarily to where they’re at and their season improved. Losses for the quarter were 5.5% annualized compared to 5.6% for the December quarter and 4.2% a year ago, again influenced primarily by the seasoning of the portfolio and the large bond originations in 2012 and 2013. With regards to liquidation recoveries at the options, we realized 48% recovery rate at the options, which is an improvement over 45% in the December quarter, but a little less than 49% a year ago. This is still difficult to predict, but we expect that there will be some weakening, but not dramatic weakening in this metric over the next 12 months or so given that there’s just been hard production, normal vehicle production. So there’s a little bit more of that inventory moving through. We mentioned we closed the 2014-A securitization in March, $180 million deal, very simple, struck hard to the structures of our recent transactions, five tranches, starting a double AA and moving down to single B, all rated by Moody's and S&P. Blended coupon of 2.51% was a 30 basis improvement over the December deal, which in turn as I said was an improvement over September deal. That deal had $68 million pre-funding component, which we actually closed last week after the close of the quarters. So that deal is completely funded and established and on the books. And of course one of our objectives and we mentioned this before as to move those structures and we arrange those tranches to get the highest grade tranche to AAA level. We expect that there is a good possibility of achieving that goal this year, certainly the deleveraging of the balance sheet and the continued profitable operations the company contribute to that goal. And so we look forward to that and certainly keep everybody posted. And with that, I think I will turn it back over to Brad.
Charles E. Bradley, Jr.: Thank you, Jeff. So, overall core has gone very well in terms of sort of the big picture going forward. It’s not that different than what we’ve been doing over the last year or two which is our focus in terms of originations and growing and expanding our footprint. We now have 117 marketing reps that’s up significantly over the year or two. We are probably now shooting for something in the neighborhood of 140. As you put those sort of boots in the ground you get a lots of business, and so rather than compete certainly on credit, and as long as we can hold off competing on price, we will continue to work on expanding our footprint to grow rather than using those two other areas. Also we have a sort of our scorecard and our buying criteria is advanced to such a level that we can really take a lot of time to tweak it here and there and find very attractive niches to buy into, and we have been doing that very aggressively and often over the last year and continue to do so. And that gives us sort of the interesting results there as much as we keep or sort of willing to give back a little price, we really haven’t had to and given that cost of funds and such today that where we keep sort of putting ourselves in a position to cut price and really not having needing to. And so we may consider to do that a little bit again depending on the completion in the marketplace. But with the way we are buying, I think ironically overall in the last year we’ve actually tightened credit and I don’t that there is that many companies out there that could say that. But certainly over the last year we have tightened our credit rather than loosening it. And I think the marketplace is probably going a little bit the other direction. And I think the marketplace is also competing on price as well. And so we make it back a little bit that given the margins and such, we probably have the room to do just that. As we’ve now mentioned multiple times over the next year, our goal is to pay off the rest of our debt and get that down to almost nothing probably a year from now. And we are right on track in all those projections in terms of that are certainly going as well as on ahead of themselves given that as long as those interest rates remain low we continue to generate more cash to pay off that debt sooner. We will continue our collection, our focus on collections and compliance. Obviously, the regulatory environment is an interesting one these days. We are in a good position there. We are sort of a bit ahead of the curve in a lot of different areas, despaired impact the service, our focus on everyone and we have been looking at that for over six months and we are working with the dealers to keep them a price and in tune without that close to work. So we think we are doing very well there. But again I will continue to expand our collection base with the portfolio of growth, having the multiple branches really helps in that way. So we are kind of doing what we should be doing there as well. Looking at the economy, I think consumer confidence is finally edging up to where it’s probably helping. The biggie for us and certainly for lots of folks is that the rates are so low. I would say the rates are going up and they just don’t seem to be going anywhere. So for a company like CPS to have those rates sit here where we can generate large amounts of paper and continue to build our portfolio locked in those long-term rates and have them to be very low, really helps in terms of both generating cash flow and also in locking long-term profits. Overall, we’re really happy with where we sit today. I think we’ve been trying to – it’s hard to always crystal ball where the market is going, but if we were going to get this market today, that’s an off a lot of the market in the 1990s. There’s lots of new companies. Everyone is trying to grow. They appear to be tending to grow a little more based on using their credit, which is a tendency with newer companies because they don’t have the cost of funds from being an experienced company getting the rates from Wall Street. And that puts us in a really interesting position where we can be conservative. We don’t have to chase. We’re not one of those new growing companies trying to meet their investor demands or put together the books to do an IPO. We’ve been here on somewhere between long time and forever and we’re pretty happy to just kind of coast along and do out what’s given do us. And if you remember the 1990s and all, I think there are lots of these other companies to create real opportunities. When we roll in after 1999, 2000, we were able to buy three companies over three or four years. I think we bought six companies all together. So there’s real opportunities when you have this kind of environment. So we go sort of both ways. We’re in a good position if other people don’t really work out the right way and we’re in a good position and we don’t have to chase to grow. And yet, even so we’re still able to grow in a nice really reasonable rate as we go. So, again first quarter is over, on to the next. It all appears pretty good. We have sort of good view of our future and we like what we see. So with that, we’ll open up for questions.
Operator: Thank you. (Operator Instructions) And our first question comes from Kirk Ludtke from CRT Capital Group. Your line is open. Please go ahead.
Kirk Ludtke – CRT Capital Group LLC: Good morning, everyone.
Charles E. Bradley, Jr.: Good morning.
Jeffrey P. Fritz: Good morning.
Kirk Ludtke – CRT Capital Group LLC: You mentioned that you were tightening credit standards again this quarter, maybe even for a year now. What is out there that would prompt you to do that?
Charles E. Bradley, Jr.: A lot of it appears in terms of just what we see. If we find a niche within our lending pattern that is a little - buying a little bit more aggressively than it should or a niche isn’t performing the way it should, and then we close that loophole and sort of easy way to look at it. And as much as we’re trying to find some loopholes to open, generally speaking we only open loopholes where we’re buying better credit anyway and we do it on price. So we’re closing loopholes where the papers aren’t performing well and opening loopholes where we can selectively cut price to obtain a better credit, the overall trend is that the credit is tightening even though you’re still growing in certain areas.
Kirk Ludtke – CRT Capital Group LLC: Okay. That’s helpful. So you’re tweaking the credit model?
Charles E. Bradley, Jr.: Exactly.
Kirk Ludtke – CRT Capital Group LLC: Okay. You mentioned that you could be debt free this time next year or how are you thinking about returning cash to shareholders.
Charles E. Bradley, Jr.: With big fat dividend, no. I think it’s a little early to figure out what we’re going to do. Right now this business is very cash intensive or capital intensive. And so, I think the way we can – we’d rather get the stock price up and return back to the shareholders – we are not - in the end, you want to keep the cash. And so, I think, for the time being it will take us a year probably to pay off the rest of the debt. At that point we can sort of review our options, but I think what we would more than likely do, say a year from now, when we start building cash and have no debt to pay, is we would then start cutting our reliance on the credit lines, on the warehouse lines. And if you recall, in the last recession, the first thing [inaudible] pressure was the warehouse line. To the extent you can put yourself in a position where you are not overly reliant on the warehouse lines and you’re preparing for the next recession that would probably be the tact we would take in terms of what we would do with our available cash going forward.
Kirk Ludtke – CRT Capital Group LLC: Okay. That’s great. And then lastly, it sounds like you think there might be a consolidation play here at some point. If the current trends continue, when do you think you might start seeing some opportunities?
Charles E. Bradley, Jr.: I would figure it’s at least another year. I think unlike the 1990s; in the 1990s there’s a lot of little odd companies that did IPOs. But they didn’t really raise [inaudible] a lot of cash and so this [inaudible] having problems, they started going down rather quickly. Today’s environment there’s lots of new companies and most of them are backed by hedge funds and in many cases very substantial hedge funds and so their longevity and staying power has got to be significantly better. Having said that, I think over the next year or two you probably would see the opportunities.
Kirk Ludtke – CRT Capital Group LLC: Okay, great. Thank you. I appreciate it.
Charles E. Bradley, Jr.: Thank you.
Operator: (Operator Instructions) Your next question comes from John Hecht from Stephens. Your line is open. Please go ahead.
John Hecht – Stephens, Inc.: Good morning, guys. Thanks for taking my questions. First, a little bit of extension from the last question. In terms of portfolio financing, are there other opportunities to recycle financing to lower cost debt in the near-term?
Charles E. Bradley, Jr.: Well, we really [inaudible] two pieces of debt, one is the residual debt and that debt is actually self paying as we go. And so we really – I mean we could probably refinance that if we wanted to I think more than likely we’ll just let that run off. And then the other piece of the public retail notes and they are running off since we’ve lowered the rates significantly as those notes renew or pay off. The price comes down on the renewals rather significantly too. And so, one, I think contractually and residually we’re not in position to refinance it today. I think it’s most of the rest of this year to run before we could. But again we really haven't thought about it because it's paying itself off. In terms of the public notes, they’re going to really probably in many ways take care of themselves because if you recall, when we initially started that program those rates were double digits, some as high as 12 or 13. The renewal rates today is something in the low single-digits. And so much of that money is going to pay out itself as it renews. And so, again, for us to get single-digit or low single-digit money at this point would probably be hard to do. So we would let that probably run its course as well. I mean, so there’s a very good chance both those pieces of debt could be nearly gone a year from now.
John Hecht – Stephens, Inc.: Okay. That's helpful. And then in terms of securitization, it was 2.8 in fourth quarter, 2.5 in the most recent quarter. Just to give us some perspective, do you have handy the average cost of funds of the securitization of the term deals?
Charles E. Bradley, Jr.: For which period of time?
John Hecht – Stephens, Inc.: I guess, just the total lot of them or just to give us a sense what do you think was before the [inaudible] rate environment came into effect.
Charles E. Bradley, Jr.: That's an interesting question.
John Hecht – Stephens, Inc.: Maybe you don't have it handy. We can do it…
Charles E. Bradley, Jr.: Yes, you could follow up. You know the trend though. The trend is the old securitization is running off and they were more expensive; the new securitizations are obviously very cheap. So ironically as much as we are getting low cost today, the overall cost is still coming down because of the old paper running off.
John Hecht – Stephens, Inc.: Yes, that’s what I was getting at…
Charles E. Bradley, Jr.: To find out what the exact average was, I mean, I can take a whack at it and say it’s probably the high 3s or may 4. But we can give you a number if you call later.
John Hecht – Stephens, Inc.: Yes, directionally, that’s helpful, okay. You’ve talked about increased competitive market, what’s going on with price. I mean we now are in the I guess kind of pass through tax refunds season, a little bit more activity in the marketplace, what’s going on with pricing now. And it sounds like volumes really improved in late quarter with tax refunds going into effect, did that momentum persist in to this quarter?
Charles E. Bradley, Jr.: It’s actually started to flag now, it had been strong, but isn’t growing. And that’s not particular surprising sometimes you grow a little bit here, sometimes it’s sort of flat so it would appear it’s coming out more flat than growth. But again the levels are pretty good anyway. So what’s interesting I think overall is there used to be a time and it’s happened quite often in the past where you would grow 50% annual year-over-year in this period of time. And that’s not going to happen this year. This year is might be 25% or 30% but somewhere in that 20-ish – 20% to 25% range. But not the big 40% to 50% range, it's capable of seeing in the past. I think that’s probably just because a lot of the folks out there are trying to buy paper and everybody is now certainly looking at subprime as the very [problem area to] [ph] get in to, and so we are probably not going to expect quite the growth, I said this last quarter as well that we might normally get. Having said that you never know, so we’ll see but the growth is still good, it’s not going to be ridiculously large.
John Hecht – Stephens, Inc.: Okay. And then the final question is I guess the vintage, looking at the vintage analysis, just to give a snapshot what’s going on the credit, has there been any changes in your cumulative charge offs, or cumulative loss expectations for say the latest deal versus deals you structured a year-ago versus two years ago.
Jeffrey P. Fritz: I think portfolios in terms of performance are starting to normalize. And what we’re predicting for these flows is in particularly that we were predicting a year-ago. I think may be the year-ago flows rough a little more than we’ve expected. But again I think it’s somewhat what you recall in 2010, 2011 the approvals were coming in single digits which is in the place were supposed to be as much as that sort of a wonderful credit metric. We want to lend in that 14% cumulative loss range. And I think we’re sort of right there now. And we might have thought for 2012, 2013 might have been slightly lower I say 2013 and there probably going to end in closer to 2014. But again since our target’s 2014 that really coming in the line where we’ve expected.
John Hecht – Stephens, Inc.: Hi guys, thanks very much guys.
Charles E. Bradley, Jr.: Thank you.
Operator: Thank you. And our next question comes from Jeremy Frazer from JMP Securities. Your line is open. Please go ahead.
Jeremy E. Frazer – JMP Securities LLC: Hi, guys thanks for taking my questions. Like you said in the originations may be seen a little bit light here a little bit, probably a little bit more light increment model. I know you guys had previously spoke to you trying to reach possibly $1 billion in originations for this year. Is that target still hold or what are your thoughts on that?
Charles E. Bradley, Jr.: We probably would tamp that down a little bit at this point. I think we are in a position where, we’re certainly in a position, we’re not going to chase the growth and so a little bit, if you maybe look at every else is doing. It’s just they want to push real hard and all power to them. I think our target is probably north of $800 million. Does it get to a $1 billion or not is a little earlier to tell, a lot will depend on how strong the next few months are, but I think, again, if we had a little more push in the last couple of months we’d probably still hold on to the $1 billion. Today we probably would push it down to that, I don’t know, $850 million to $900 million range and, yes, we do. I guess we’re in a nice position where we’ll be a little more conservative these days than trying to really push it. So that’s kind of our outlook. We could surprise, but at the moment that would be our outlook.
Jeremy E. Frazer – JMP Securities LLC: I know you guys - again spoke in the last quarter kind of finalizing the FTC kind of collection practices and things. Is there any way you could quantify for us whether in terms of cost to recover $1 or maybe just incremental basis points, what the impact of those practices are for your collection?
Charles E. Bradley, Jr.: In terms of how we’re going to do, in terms what we collect?
Jeremy E. Frazer – JMP Securities LLC: Yes.
Charles E. Bradley, Jr.: I would say that the net in the end should be zero. It’s not so much how we collect in terms of what we’re – it’s about how we collect. There’s not so much sort of the mechanics in terms of where we’re going to lose money, where we pick up or not. It’s just more sort of a reteaching of collection practices more than anything else. And so, with a regulatory environment today, you need to be much more careful about how you call people and things like that. And so, I guess the answer to your question is how much we lose in the retraining period in the overall and we might – there’s a little bit, but I think what you’re seeing today, the delinquencies are a little higher and that’s more from the retraining than anything else. The overall impact we would expect to be rather negligible over time.
Jeremy E. Frazer – JMP Securities LLC: Okay. Thank you.
Charles E. Bradley, Jr.: Thank you.
Operator: Thank you. And our next question comes from Charles Fisher from [LS Partners] [ph]. Your line is open. Please go ahead.
Unidentified Analyst: Good morning, gentlemen. Nice quarter. Thank you very much for your hard work. One housekeeping question and one strategic question. It looks like we’ve got probably close to three years in NOLs to sort of shelter on taxable income. Is that a fair guess?
Charles E. Bradley, Jr.: Jeff?
Jeffrey P. Fritz: Yes, that’s a fair guess. The other thing is if you’re looking at the deferred tax asset as a precursor to paying income taxes, a significant portion of that deferred tax asset is the timing difference attributable to the increase in the allowance for loan losses. So not all of that deferred tax asset is NOL. And in fact, we’ve had such a good couple of years here since we reversed the valuation allowance for the deferred tax asset and we’re reading into the NOL portion of that pretty rapidly. So if your answer is when do we become a cash tax payer the question is going to become a cash tax payer, we project that that some estimated cash tax payments would take place in late – in 2014 even though you’ll still see there’s big deferred tax asset on the books, it’s not all NOL.
Unidentified Analyst: Okay. That actually is very helpful. And then, on the strategy side, Charles, it seems like given the market that we live in now in the world that gaining market share in the good times may not be sort of the optimal period. It sort of maybe gaining market share wins, things aren’t as good. So is that kind of how to think that your cash deployment in terms of the shareholder unhappy to hold cash payoff all the corporate debt and then build kind of a big chunk of cash on the balance sheet whether you just booked. Where has been the further uses if we conduct a real action come to the recession now, not in the kind of good times.
Charles E. Bradley, Jr.: Very stiff question. You’re exactly right. I think there’s two things you can do and you would be sort of take the global look what’s going on the marketplace. You have lots of new companies that are trying to grow and they run around, run, grow and they’ve said they’re not that big, which they’re not. I mean most of these companies aren’t even doing $30 million a month. And so, we almost don’t see them, but they’re still out there and they have higher cost of funds. They don’t have the access to capital market that would say we would have or others. And so, what they do is they dive little deeper and so we don’t want to play in those markets. The good news is we work actively with 8,000 or 9,000 dealers and that’s 50,000 dealers. So what we do is just keep expanding into those different dealer areas or different areas with more dealers and we can get our little piece of all that action. And so, while the times are the way they are the best way to play is to grow, but the growth is sort of expanding your footprint to more people in the field, accessing more of those dealers that’s sort of untapped. And I think that programs are doing well for us in terms of keeping our credit away it’s supposed to be, but R&D – more interesting part of the question is there is going to be another recession. We got a little flat in the last one. We won’t be caught that way this time. We would expect that while it was paid out next year we expect we’re building cash through all of 2015 and if we have recession in 2015 and 2017 the opportunities to be rather boundless in terms of the us being a well financed, well set of company with a huge track record and having lots of large financial partners in Wall Street willing to go out and help us fight with anybody and everybody who is having a problem. And those numbers, if you look back in our past history, are just naturally substantial in terms of the discount you can get when you buy those. The throughputs or earnings is dramatic. So, yes, that’s the real play. The only problem is you can’t really put a finger on when the next recession, those opportunity is going to show up. And so, more we’re going to nice – probably we’re getting close to being ready for that. We still could use another year and I think there is a risk in another year before we see that kind of action coming.
Unidentified Analyst: Well, I think that’s a perfect strategy. So I’ll leave it at that.
Charles E. Bradley, Jr.: Good. Appreciate it.
Operator: Thank you. (Operator Instructions) I’m showing no further questions at this time gentlemen.
Charles E. Bradley, Jr.: Thank you all for listening in, in our conference call. As I said, we’re happy with the first quarter. We’re very happy with where we sit in the market today and we think next year coming up, the next three quarters should be just about business as usual and we think things are going our way. Thank you all, talk to you another quarter.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes our program. You may all disconnect and have a wonderful day.